Jeff Donnelly: Hello, everyone, and welcome to DiamondRock Hospitality Company's First Quarter 2025 Earnings Conference Call.
Operator: At this time, participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. You will then hear a message advising your hand is raised. To withdraw your question, simply press star 11 again. Please be advised that today's conference is being recorded. Now it is my pleasure to turn the call over to the EVP, chief financial officer, and treasurer, Briony Quinn. The floor is yours.
Briony Quinn: Good morning, everyone, and welcome to DiamondRock's First Quarter 2025 Earnings Call and Webcast. Joining me today is Jeff Donnelly, our Chief Executive Officer, and Justin Leonard, our President and Chief Operating Officer. Before we begin, let me remind everyone that many of our comments today are not historical facts and are considered to be forward-looking statements under federal securities laws. As described in our filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ materially from what we discuss today. In addition, on today's call, we will discuss certain non-GAAP financial information. A reconciliation of this information to the most directly comparable GAAP financial measure can be found in our earnings press release. We are pleased to report that our results for the first quarter were largely in line with our expectations. Comparable RevPAR increased 2% over 2024, and total RevPAR increased 1.6%. Our urban footprint was the primary driver of the portfolio's RevPAR growth, up 5% on a strong contribution from both the group and business transient segments. The growth was steady throughout the quarter, with room revenues up 3.1% in January, up 2.6% in February, and up 5.4% in March. Food and beverage revenue at our urban hotels declined 3.3% year over year. This was mainly due to the Chicago Marriott's exceptional in-house group programs with more extensive food and beverage contribution last year compared to this quarter where there was a larger proportion of citywide rooms-only group with limited in-house food and beverage spend. If we exclude the Chicago Marriott, food and beverage revenues at our urban hotels increased 5.5% instead of declining 3.3%, an eight hundred eighty basis point swing. In anticipation of the question, total RevPAR growth at excluding the Chicago Marriott was 2.5% or about 90 basis points higher than the reported 1.6% growth for the entire portfolio. Total expenses in our urban portfolio increased 2.1% on a 1.5% increase in wages and benefits. Hotel adjusted EBITDA margins increased 54 basis points. Switching to our resort portfolio, comparable RevPAR declined 2.1% over 2024, and total RevPAR was down slightly, just 40 basis points. Total revenues were up slightly in January and February, 0.4% and 0.9%, respectively, but declined 4.3% in March. Drilling into March, our resorts were largely flat through the first three weeks of the month, similar to January and February, but in late March when we hit the comparison to Easter week in 2024, we experienced sharp year-over-year declines, supporting that much of the softness was driven by the calendar shift. Consistent with our comments on last quarter's call, we saw mid-single-digit revenue declines at our Florida assets, with first-quarter RevPAR down 5.9% and total RevPAR down 4%. Outside of Florida, where our resorts skew a little more luxury, RevPAR increased 1.7%, and total RevPAR increased 2.9%. For example, the Heights and Bale enjoyed a great ski season and saw RevPAR increase 7%, and total RevPAR increased 9.5%. The margin story in our resorts is important and bears highlighting. We had great success managing costs in the face of top-line softness to preserve profitability. We reduced overall expenses by 24% compared to 2024, expanding our hotel adjusted EBITDA margin by 76 basis points to 32.5%. Group remained our strongest segment in the first quarter as it did throughout 2024. First-quarter group room revenues increased 10.4% over last year on a 5.2% increase in room nights. At our Urban Hotels, group revenues increased 14.4% on a 5.9% increase in room nights. We remain focused on adding groups to our resorts to build a base that will preserve pricing and improve profitability. Although group lead generation remains strong, the closure rates have been softer recently, as event planners have been slow to make a final decision due to the unsettled macroeconomic environment. As of the end of the quarter, our booking pace for 2025 continues to be up slightly versus the same time last year. Turning to profits, hotel adjusted EBITDA in the first quarter was $61.3 million reflecting 2.2% growth over 2024 on a margin that was 39 basis points higher. Corporate adjusted EBITDA was $56.1 million flat to last quarter. And adjusted FFO was $0.19 per share, $0.01 or 5.6% over 2024. Finally, free cash flow per share in the trailing four quarters calculated as AFFO less CapEx increased 10% to 63¢ per share over the prior four-quarter period. Before I turn the call over to Jeff to discuss recent events, our updated outlook, and strategy, let me touch on our dividend and our balance sheet. I want to reiterate that we intend to continue to pay an $0.08 per share quarterly dividend in 2025 and, depending on our 2025 operating income, an additional stub dividend for the fourth quarter. Turning to the balance sheet, during the quarter, we repurchased 1.4 million shares of common stock at an average price of $7.85. We continued repurchases following the quarter-end, bringing the year-to-date total to approximately $16 million or 2.1 million shares. The average price equates to a trailing capitalization rate of a little over 10%. We have approximately $160 million capacity remaining on our share repurchase authorization. Finally, we have three mortgage loans totaling just shy of $300 million maturing in 2025 at a weighted average cost of approximately 4.2%. We also have a $300 million term loan maturity in early 2026 that, as of quarter-end, had an average cost of 5.8%, a 35-basis point over SOFR. We continue to review the most cost-effective options to refinance these maturities through a combination of an inaugural corporate debt issuance, placement of mortgage debt, and a recast of our corporate credit facility. At the current time, we believe a recast and upsize of our corporate credit facility is likely the most economical option for us to address our loan maturities. And this is factored into our updated 2025 guidance that Jeff will discuss. This updated assumption lowers our interest expense outlook by approximately $3 million. On that note, I'll turn the call over to Jeff.
Jeff Donnelly: Thanks, Briony, and thank you for joining us this morning. Let's start by reviewing capital projects, then transactions, and I'll conclude with comments on what we're seeing and how that drives how we're thinking about the rest of the year. First off, recall that we completed guest room renovations at the Westin San Diego Bayview in early 2024. RevPAR in the first quarter was up 28% against a competitive set, which declined 8%, and NOI increased 65% year-over-year. We're looking to close out this project with minor changes to the lobby configuration to improve F and B potential by expanding the seating area and potentially offering a grab-and-go option. At Bourbon Orleans, we concluded a room renovation in late 2024, which supported the implementation of a resort fee. In the first quarter, other income increased over $200,000 or 90% versus the first quarter of 2024. For the year, we are forecasting a $1 million increase in high-margin other income at the Bourbon, implying a mid-teen current yield on renovation cost. In the first quarter, we completed the room refresh at the Hilton Garden in Times Square, and the product looks great. This is the first time the rooms have been refreshed since the hotel was constructed in 2014. RevPAR was down by over 16% due to displacement, and we saw a $500,000 impact on EBITDA. In a market that runs close to 90% occupancy, the first quarter is the most cost-effective window to execute such work. And our team did a great job executing here on time and on budget. Turning to Sedona, the renovation of our rooms at the Orchards is complete, and we are beginning the process of rebranding this property as the Cliffs Sedona. In fact, aerial photos on the website thecliffssedona.com will give you a good view of our location in the heart of Sedona and highly desirable views of the red rocks visible from every room of the hotel. All that remains is for the hillside work to be completed. This will create a new pool and bar area with stunning views of the red rocks and connect the Cliffs Hotel to our L'Oubert De Sedona that sits below on a shaded creek. Construction is well underway and will be completed by fall 2025. We are very excited about the repositioning opportunity and believe it will be an earnings and value driver. On the disposition front, we previously announced the sale of the Weston City Center Hotel for $92 million during the quarter, which equated to close to a 5% trailing cash flow yield after CapEx. A portion of these proceeds was accretively recycled into repurchasing common shares at an average price of better than a trailing 10 cap rate. We continue to pursue opportunities to dispose of nonstrategic assets as well as opportunistic dispositions, all with a focus on recycling proceeds into the most attractive investment alternatives. There is nothing we can comment on at this time, but we hope to be able to share more soon. On the transaction front, there are a good number of high-dollar resorts on the market, with prices ranging from $500,000 to as much as $2 million per key. All in, pricing after CapEx is in the range of a 5.5% to about a 7% cap rate. Given our source of funds, our common shares, preferred equity, and even our debt are among the most accretive reinvestment options today, but we are always actively looking for accretive recycling opportunities. Before I get into guidance, let's talk about what we are seeing real-time. On the resort front, RevPAR growth was up about 1% in January, 4.4% in February, and flat through about the first three weeks of March. It was only in the final days of March when the resorts were comparing against Easter week 2024 that we saw RevPAR decline. Fast forward to mid-April, and we saw a significant year-over-year RevPAR spike at the same properties for Easter week 2025. Moreover, the transient pickup for the second quarter remains consistent with last year. The point is that much of the softness we have seen thus far at our resorts seems to originate from holiday shifts and not the coincidental timing with negative macroeconomic headlines. Looking ahead, an unsettled economy may lead to more demand, at the drive-to resorts common in our portfolio versus costlier fly-to destinations. Our direct exposure to foreign travelers is low. Nevertheless, foreign visitation to The US will likely be softer than initial expectations, and it is not clear whether the incremental demand from US travelers will be sufficient to backfill this potential gap. Currently, we are not seeing a meaningful shift in resort demand but remain vigilant. The long-term secular drivers for US resorts remain strong, but we recognize near-term performance could be soft. Nevertheless, we expect DiamondRock Drive two destinations will perform well in this environment. At our urban hotels, business transient demand increased in the mid-teens during the quarter, and trends are encouraging. As for group, it's important to remind everyone DiamondRock is building upon peak group room revenues in 2024. Given that backdrop, lead volume is still higher than last year. Group pickup for 2025 or in-the-year-for-the-year bookings increased in January and again in February, but we saw a pause in group pickup as we moved into March. It is that pause, that deceleration in our lead conversion, leading us to a more cautious stance on the back half of 2025. The optimistic view is that group demand is there, and a little more confidence in an unsettled economy will convert business leads to revenue. Considering we've seen capitulation on many aspects of the unpopular trade policies, one could argue we're already moving toward a calmer environment. The cautious view is confidence arrives too late, the industry to fully recapture its prior potential, typically, group-dependent hotels in the market grow anxious and start discounting, which leads to lower revenue creation than may have otherwise occurred. Our decision to reframe our 2025 guidance was driven by healthy group lead volume and business transient demand on the one hand and the acknowledgment that a continuing pause in group pick may make it more challenging for us to replicate the very strong group production we had in the back half of 2024. So let's get to our outlook for 2025. Our FFO per share guidance is unchanged, at a range of $0.94 to $1.06 per share. We revised our full-year 2025 RevPAR outlook to a range of minus 1% to plus 1% growth, or about 200 basis points lower than our prior range. Total RevPAR growth is expected to be the same, in the minus 1% to plus 1% range. The lower and upper bound of our new full-year rate assumes RevPAR for the remaining three-quarters of the year is down less than 2% at the low end and slightly positive at the high end. 2025 corporate adjusted EBITDA is expected to be in the range of $270 to $295 million, or $5 million lower at the top and bottom than our previous guidance. This places the midpoint at $282.5 million. It bears noting that the revision includes the benefit of a $3 million savings on our insurance placement. As Briony mentioned, we have a bit of financing work to do in 2025, and included in our guidance is the assumption we will execute a credit facility recast to address near-term debt maturity. Adjusted FFO is expected to be in the range of $198 to $223 million, or $1 million lower than prior guidance. Adjusted FFO per share is expected to be the range of $0.94 to $1.06, which as I said earlier, is unchanged from our prior in part because of the share repurchases as well as the flexibility our liquidity affords us to allow us to pivot our debt refinancing plans. In closing, the outlook is cloudy. Underlying trends were obscured rather than illuminated by the short-lived days of spring coinciding with holiday shifts only to be immediately followed by the somewhat ironically named Liberation Day. It is my personal view the Trump administration will continue to soften their policies to settle the economy and improve the reelection potential of congressional Republicans in 2026. For this reason, I am cautiously optimistic we'll see economic anxiety settle as we move through 2025. Regardless of the future path, increasing earnings per share remains our focus. Our greatest investment during the quarter, aside of course from the exciting work in Sedona, was the repurchase of our common shares, and we will continue to lean in on opportunities to continue to prudently grow earnings and create value while preserving flexibility. Thank you for your time this morning, and we will be happy to answer your questions.
Operator: Thank you so much. And to ask a question, simply press 11 on your telephone and wait for your name to be announced. To remove yourself, press 11 again. One moment for our first question. It comes from Smedes Rose with Citi. Please proceed.
Jeff Donnelly: Good morning, Smedes. Thanks.
Smedes Rose: Hi. You mentioned a little bit about some of the trends you're seeing in April. I just wonder, can you just share the preliminary portfolio-wide RevPAR for April?
Briony Quinn: Yeah. Our preliminary April is showing a little better than 2% growth.
Smedes Rose: Okay. Okay. Thank you. And then I guess I just wanted to ask you a little bit on the renovation projects that are underway. With the tariffs, etc., would you expect those costs to go up, or are they already kind of locked in before that went into effect?
Jeff Donnelly: I think it's a bit of a difficult answer because it really depends on which types of renovations you're talking about. I think and it kind of goes to complexity, think, that most people in leadership positions are buying stuff from overseas or making decisions about it. I'll give you an example. We're renovating our hotel in Phoenix. We went very quickly from trying to understand what storage options were for a large order of FF and E that was being made in Vietnam to getting an auto boat as fast as possible when the tariffs were pushed back for ninety days so that we could get that FF and E in before the tariffs were reinstituted. So I think we're trying to be pragmatic without understanding exactly what the future is gonna look like. I think for the summer window, stuff that we have on order is likely all gonna come in before the tariffs are imposed again. But the stuff that we have slated to start in November, in a bit of a pause trying to understand what the landscape's gonna look like.
Smedes Rose: Okay. Thank you.
Jeff Donnelly: Thanks. Thank you.
Operator: Our next question comes from Duane Pfennigwerth with Evercore ISI. Please proceed.
Duane Pfennigwerth: Hey. Thanks. Appreciate the detailed commentary. Just on the group conversion pause, can you talk a little bit about the profile of your average group? Are these corporates? Are these small businesses, associations, social gatherings? What types of events are we talking about? And do you have an average group size?
Jeff Donnelly: Yeah. It's a good question. I would say it's gonna run the gamut from associations to corporate. The other thing I would say is when you consider our average hotel, we can particularly take Chicago Marriott out of it. When you look at our average hotel, we're about 200 to 250 room hotel. So the nature of our groups tends to be a little shorter, book closer in, and for that reason, there are gonna be smaller sizes. I don't have a number for you off the top of my head. For what the average group size is, but I would say it's probably gonna be about the size of those hotels at most. Chicago, in particular, and maybe Boston are gonna be some of the ones where you see really a different sized group. But it does run the gamut, in terms of the mix of the source of that group.
Duane Pfennigwerth: Got it. And then on that front, any markets in particular where you're excited about the group pacing? Thanks for taking the questions.
Jeff Donnelly: I think Denver's showing some significant strength for us just given the citywide pace that's on the books. Actually, for our hotel downtown, we don't participate in a lot of those blocks. So the citywide pace is great for a little hotel that can compress around it. Salt Lake is also kind of a significant standout for us. Think we're finally seeing the benefit of the renovation that we did about a year and a half ago, and San Diego also, just partly driven by the fact that we had, you know, some displacement from a renovation last year. But we're also seeing post-renovation a nice uptick in group bookings.
Smedes Rose: Thank you.
Briony Quinn: Of course.
Operator: Thank you. Our next question comes from the line of Michael Bellisario with Baird. Please proceed.
Michael Bellisario: Thanks. Good morning, everyone.
Jeff Donnelly: Morning.
Michael Bellisario: Two parter for me, sort of just along the same lines on group. I guess, maybe where are the holes in terms of dates as you look out for the rest of the year in terms of quarters? And then secondarily, I guess, maybe for Justin, what's the updated revenue management strategy today to try to backfill some of those holes? Thanks.
Justin Leonard: I mean, for a guy in Chicago, Mike, I would think you'd know.
Jeff Donnelly: No. I mean, our biggest holes for us are frankly more due to the comparable period than they are necessarily the cadence of where group bookings are. We just given DNC in Chicago in August that just presents a pretty difficult comp for us in terms of backfilling that size of citywide business. And then, I think probably November after that, we've got a little bit of a difficult comp given some of the business that was in Boston last year. Yeah. From a revenue management perspective, I would say that we've actually been relatively steadfast on rate up to this point. Maybe that is some of the cause of the lack of conversion. We're trying to shift people into more appropriate patterns in exchange for giving them a discount. We've had some success doing that. And candidly, trying to book transient in some of those holes. But you know, we're not at a point where we feel like cutting rate is instigating demand. So it's a bit of a wait-and-see pattern, I think, for some of those further-out holes on a transient front.
Michael Bellisario: Understood. Thank you.
Justin Leonard: Thank you.
Operator: Our next question comes from Chris Woronka with Deutsche Bank. Please proceed.
Chris Woronka: Hey, good morning, everyone. Thanks for taking the question. Jeff, you guys gave out a lot of data points. I think one of the things you mentioned was kind of the pause that maybe happened in March and April on some of the group in the year for the year. The question is kind of what's the, I guess, the average booking window for that stuff? And at what point do you say it's not coming back this year, or is it also, you know, is it a think it's partially a pricing issue where groups are just kind of you know, using this pause as leverage to try to get better rates on some of the smaller meetings.
Jeff Donnelly: Yeah. I'm not sure if it's necessarily a pause to get better rates than if that's strategic. I mean, maybe for larger groups, they would probably be looking for better terms around cancellation or attrition. So if they have uncertainty around how many folks are going to be attending their event or if they're coming from abroad, you know, we might not be the host of the majority of that type of business, but I would say that our booking window for smaller groups has to be four to six months out, and for larger groups tends to be about eight to twelve months out.
Chris Woronka: Okay. Thanks. Super helpful then. Just a question. Yeah. I know you guys had talked a lot last year about kind of the post-renovation lift, and the Marriott was one of the ones you highlighted, almost 5% RevPAR growth in Q1. Not bad. But is that property, you say, that's kind of fully stabilized now? Gonna grow in line with the market? Or is there still more to go there? And I guess on your renovations that are gonna wrap up this year, remind us of kind of how long you generally see before stabilization of the post-reno benefits? Thanks.
Jeff Donnelly: Yeah. The comment we made when we announced that project was the property was doing about $10 million in EBITDA, and we thought that eventually kind of stabilization would be like I think around $16 million, $15 million-$16 million. And we thought in its first year, we would do about twelve. I think it did $14 million, if I recall. In its first year post-renovation. So I think there's still some more room to go. We've actually come out of the out of the gate really strong. So I still think there's still potential there for us to have additional upside.
Chris Woronka: Okay. Very helpful. Thanks.
Justin Leonard: Thank you.
Operator: Our next question comes from Floris van Dijkum with Compass Point. Please proceed.
Floris van Dijkum: Hey, guys. Jeff, you're very you've become the new messenger in terms of you know, shareholder value and cash flow per share. I love the messaging you're providing. Obviously, that would suggest that, you know, you're not done with share buybacks. You've got about $100 million left on the balance sheet in terms of cash and $158 million of authority remaining. In this environment, I know that your tenure as a CEO is perhaps more limited than some of your other peers. I mean, is there a better opportunity out there right now to deploy capital besides buying back stock?
Jeff Donnelly: Generally speaking, I would say no. I mean, we'll see what the environment brings. But at this point, I would say repurchasing our own shares is superior to certainly buying acquisitions in the marketplace.
Floris van Dijkum: And then maybe a follow-up question. You mentioned something about New Orleans and how you instituted resort fees. Could you remind us what percentage of your hotels today charge resort fees and is there any more incremental upside in bringing some of those on board?
Jeff Donnelly: I'm trying to think of the percentage off the top of my head. I guess it's about three quarters, you know? Yeah. It may be slightly less, but 70%-75% would be my guess by number of rooms probably. And our ability to try and charge those is a function oftentimes of if they're branded, do you have brand sort of permission and approval, but also, what will the market bear? And, you know, in Bourbon where it's an independent hotel, we had more of a free hand, but we also had to make sure that the value proposition was there in order sort of charge that fee. And so we've had good success there.
Floris van Dijkum: Great. Thanks.
Operator: One moment for our next question. It comes from Jack Armstrong with Wells Fargo. Please proceed.
Jeff Donnelly: Good morning, Jack.
Jack Armstrong: Good morning. Thanks for taking the question. What kind of shifts are you seeing in consumer behavior in terms of the booking window, on-property spend, and is there a meaningful difference that you'd point out there between your higher-end consumers versus more of your middle-income drive-to market customers?
Jeff Donnelly: Don't know if there's a lot of trends that, you know, in the relatively short term since I think people feel like the world shifted. I think the window continues to get shorter. I mean, we've definitely seen that over the course of this year, and maybe that's just people are less concerned about ultimately being squeezed out of particular dates. In terms of spend, we've seen on-property spend be pretty much in line with, if not ahead of last year. We actually had growth in our food and beverage in the resorts over the first quarter, which we hadn't had for the previous two quarters. So we thought that was a pretty good sign to see even with spring break moving out of the quarter. And that was pretty universally spread between some of the lower ADR resorts and the higher more affluent customer-based ones.
Jack Armstrong: Okay. Great. And then on the cost side, what are some of the levers that are available to you if we enter a more notable macro slowdown? How does your current level of full-time employees compare to pre-pandemic, and how does that impact your flexibility to cut costs?
Justin Leonard: I think we're definitely down in FTEs. I mean, I've got to go back and look at the exact percentage. I'm certain that we're down in FTE count relative to pre-pandemic. It's typical for this industry to find significant cuts and then be slow to sort of reinstitute them. So there's probably some more limit to what we could effectuate to the extent we went into a deep recession. But I think we've got contingency plans for all of our hotels. The struggle that we have now is we're not seeing a market change in business or booking patterns. And so we're a little reticent to cut into service standards at the moment, given that the guests are still showing up and paying very high rates. But I think we've got a number of things, between changing operating hours of outlets, changing service standards on the housekeeping side. We pretty much have a hiring freeze in place at the vast majority of hotels already at the moment. But, you know, there's a gradient of things that we can enact to the extent we start to see a falloff in demand.
Jack Armstrong: Okay. Great. Thanks for taking the question.
Operator: Our next question comes from Chris Darling with Green Street. Please proceed.
Chris Darling: I think you mentioned in the prepared remarks that wages and benefits were up about 1% in the first quarter. I'm wondering how this compared relative to your expectations? And then what are you expecting for the rest of the year there?
Briony Quinn: Yeah. I think the wages and benefits came in about what we expected. We had a little favorable comp this quarter with some one-time issues or one-time costs and benefits last quarter. That kept that growth rate down in the first quarter. I think we continue to expect our wages and benefit growth rate to be around 2% to 3.5% for the full year.
Chris Darling: Okay. And then I want to go back to the question Floris asked about share repurchases. And, Jeff, I'm just curious, you know, strategically how you think about incremental share repurchases relative to just bolstering your cash position. And I asked the question in the context of, you know, we're in a more uncertain environment now. I'd imagine it's, you know, a more difficult backdrop in which to sell assets, although it sounds like there may be still some progress on that front. And then, obviously, the handful of mortgages that are maturing throughout the year. So any incremental thoughts would be helpful to hear.
Jeff Donnelly: No. That's a great question. It's something that, you know, I made a comment in my prepared remarks about it's important to be driving value. And I think when you think about per-share earnings, I think that's our magnetic north. But at the same time, I think maintaining liquidity and flexibility is critical in moments like this. I personally don't think we're on the verge of another global financial crisis or pandemic-like outcome, you know, where you're really sort of hoarding cash almost to the extreme. But it is something we're mindful of. And that's why, you know, candidly when you look at the proceeds that came out of Washington DC, some portion of it went to repurchases, but some of it's used really to kind of manage the timing around repayment of debt this year as we sort of bridge towards a period of putting more permanent debt on. So I think that cash becomes sort of more freely available to us as the year goes on. But in the near term, it helps us, as I said, sort of bridging reworking your balance sheet. But I do think it's an important use of recycling proceeds into share repurchases.
Chris Darling: Alright. Makes sense. Thank you.
Smedes Rose: Thanks.
Operator: Thank you. And as a reminder, if you do have a question, simply press 11 to get in the queue. Our last question is from Stephen Grambling with Morgan Stanley. Please proceed.
Stephen Grambling: Hey, thanks for taking the questions. I know you target these high barrier entry markets, but look across your entire portfolio, what do you think competitive supply growth is this year? And are you seeing any change in behavior in developers in the markets from that you operate from the volatility we've seen broadly?
Jeff Donnelly: You know, like, I would say more just step back. I would say probably 40% to 50% of our markets are in places where you almost cannot build. I mean, it's sort of the Florida Keys or French Quarter or Sedona, and markets like that where there's either a very anti-development stance or just by right, you're not allowed to build, you know, like I mentioned, the French Quarter. So there's a big chunk of our portfolio that I think for a very long period of time will have almost no supply growth. I think other markets right now, like, development really doesn't pencil. So I don't have a specific number, but I think it would be probably close to 1% growth if you think about it over the next few years. But in terms of near term trends, I mean, certainly, what's happened in the last thirty days has made financing even on acquisitions more difficult and more expensive. I would imagine it's gonna make development more costly to pencil. I don't know, Justin, if you think in the last three to six months, have you seen anything out there on the development side?
Justin Leonard: I mean, I've seen very, very little that's been announced, maybe one or two things that have involved public subsidy, and we're going to need that in order to get over the finish line. I think candidly, what we're more focused on is, unfortunately, I think given the lack of development, the brands have been more focused on getting unit growth from brand acquisitions. And so where we do have branded outposts, kind of that continued acquisition on the brand front brings competitive supply, although not new rooms, right, competitive supply into a brand channel. So I think one of the things that we're particularly focused on is, you know, how do we insulate ourselves to some extent from that. Luckily, we don't have as much of a branded portfolio as some others, so we do have some defense against that, but I think it's one of the things that we're watching.
Jeff Donnelly: Yeah. One other thing I'd say, Stephen, is we you know, it's only a small glimpse, but I mean, in the public markets, I mean, there's a handful of companies that have purchased assets out of development, and you can see there's just it tends to be a very difficult environment for that, just given the high construction costs and, you know, the ramp that's associated with a development asset, it's just for us, at least, it's hard to justify. Not that you suggested we get into development, but it's hard to justify that relative to either your own shares or, you know, an acquisition where it's existing income on a lower basis.
Stephen Grambling: Understood. And maybe I missed this, but if the capital markets were to become more supportive, are there specific markets that you think look particularly interesting, or you'd wanna increase exposure through from M and A, if we do get that kind of, I'll say, all is clear on the macro side, but at least maybe from a capital market standpoint.
Jeff Donnelly: Specific markets. I don't necessarily think of it that way. I mean, we do discuss some markets. I think more thematically, it's trying to find situations where you know, you see an opportunity for a good recovery. Out there. And so we have looked at some situations in the last six to twelve months where I'd say they probably skewed to more urban markets. That to be clear, we're not abandoning a focus on resorts. It's just when you look at where can you find distressed assets or distressed owners, it can be in more in the urban markets that just haven't rebounded yet. Value buying.
Stephen Grambling: Got it. Alright. Thank you.
Jeff Donnelly: Yep.
Operator: Thank you. And this concludes our q and a session for today. I will turn the call back to Jeff Donnelly for final comments.
Jeff Donnelly: Just thank you, everybody, for joining us. If we don't see you next week at Wells Fargo's headquarters tour or their REIT conference, I'm sure we'll see you on the road this summer. Thank you.
Operator: Thank you. And this concludes our conference for today. Thank you all for participating. And you may now disconnect.